Operator: Ladies and gentlemen, welcome to the General Motors Company Third Quarter 2020 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference call is being recorded, Thursday, November 5, 2020.  I would now like to turn the conference over to Rocky Gupta, Treasurer and Vice President of Investor Relations.
Rocky Gupta: Thanks, Erica. Good morning, and thank you for joining us as we review GM's financial results for the third quarter of 2020. Our press release was issued this morning, and the conference call materials are available on the GM Investor Relations website. We're also broadcasting this call via webcast.  I'm joined here today at GM's Tech Center by Mary Barra, GM's Chairman and CEO; John Stapleton, GM's acting CFO. And on the line, we have Dan Berce, President and CEO of GM Financial. Before we begin, I'd like to direct your attention to our usual forward-looking statements on the first page of the chart set. The content of the call will be governed by this language.  I'll now turn the call over to Mary Barra.
Mary Barra: Thanks, Rocky, and thanks, everybody, for joining the call today. This morning, I'll cover a few key areas of the business. I'll start with a brief snapshot of our record third quarter earnings, and then I'll follow with a more in-depth look at the rapid progress we're making in electrification. I'll wrap up by touching on our regional businesses, and then John will provide a deeper look at the numbers before we go to your questions.  But before I do that, I know everyone on the call is closely watching and waiting for the final vote count in the U.S. presidential election. From our perspective, General Motors is ready to work with whichever candidate is certified as the winner, along with their administration and the new Congress. And we will continue to invest in our U.S. operations and pursue our growth initiatives, especially in the areas of electrification and autonomous vehicles.  I also want to take a moment to recognize the tireless efforts of our employees around the world. Whether working remotely or in the workplace, they are keeping our programs fully on track, building every vehicle they can safely and with quality. In addition, our suppliers are moving mountains to keep their operations open so we can keep production going, and our dealers are embracing creative new ways to interact safely with our customers for service parts and sales. That has truly been remarkable and inspiring to see how everyone has come together to safely restart our operations with the health and safety of our teams and our customers as the number one priority.  Our multilayered approach to COVID-19 safety has proven effective in preventing the spread of disease around all of our facilities. Where our protocols are followed, they are working. This is an extraordinary effort, and our continued focus on employee health and safety has been important as economies begin to recover around the world.  Finally, I'm very pleased to share that GM Canada and Unifor have reached a tentative agreement on our new labor contract, which is very good news for our team, our customers, our dealers and our investors. As you know, we have been operating our full-size pickup plants around the clock to meet exceptionally robust demand for the Chevrolet Silverado and the GMC Sierra in the United States and Canada. The fact is we simply can't build enough. And because we expect demand to remain strong, we must increase our capacity. That is why, subject to ratification, GM plans to invest approximately CAD 1 billion to bring full-size pickup production back to the Oshawa assembly plant while making new investments at St. Catharines propulsion plant and the Woodstock parts operation.  We will move very quickly. We expect construction to begin on the new body shop and flexible assembly module at Oshawa immediately upon ratification. When the plant comes back online in early 2022, we will see a significant increase in our full-size pickup production capacity. We look forward to sharing more details about this plant after ratification, which should occur over the next several days.  Now let's turn to our Q3 results, which were driven primarily by the success of our safety protocols around the world; a stronger and faster-than-expected industry recovery in the U.S. and China; strong U.S. retail sales and market share, especially for pickups, with higher pricing and disciplined incentives; and the successful launch of our all-new full-size Chevrolet, GMC and Cadillac SUVs. We also clearly benefited from austerity measures we implemented in response to the pandemic and the ongoing transformational-related cost reductions.  Looking at the numbers. We delivered net revenue of $35.5 billion, EBIT-adjusted of $5.3 billion, EBIT-adjusted margin of 14.9%, EPS diluted adjusted of $2.83, adjusted automotive free cash flow of $9.1 billion and a ROIC adjusted of 9.7% on a trailing 4-quarter basis. These results are providing capital for our EV and our AV growth initiatives, and they demonstrate the underlying strength and resiliency of our business.  This year and this quarter, in particular, you can clearly see how we are rapidly transforming our company to lead in EVs by leveraging our iconic brands, technological innovation, manufacturing capability and scale in a way that will change the way customers and our investors view our company.  The foundation is our flexible and highly scalable Ultium architecture, battery and propulsion system, which have empowered our designers and given them free rein to reimagine our approach to interior and exterior design. You can see this in the powerful, distinctive and beautifully executed vehicles like the GMC Hummer EV and the Cadillac Lyriq. The simplicity of Ultium and the use of virtual engineering have made us more agile. From inception to production, the Hummer EV represents the fastest vehicle development program in GM's recent history. We took reservations during its reveal, and demand exceeded our expectations.  Our manufacturing strategy is also coming into sharper focus. Construction of the Ultium Cells LLC manufacturing facility in Lordstown, Ohio, where we will make battery cells with our JV partner, LG Chem, is ahead of schedule. We've begun the hiring process and will add a total of 1,100 jobs to the local economy.  We have also announced plans to have 3 plants producing EVs, Factory ZERO in Detroit-Hamtramck, Orion Assembly in Michigan and Spring Hill assembly in Tennessee. During the quarter, we shared even more detail about our road map to deliver EV costs comparable to internal combustion engine vehicles. For example, all of our future EVs will draw from a family of 5 interchangeable drive units and 3 motors known collectively as Ultium Drive. And we will be the first automaker to use a wireless battery management system for production of electric vehicles, with expanded over-the-air updates provided by GM's all-new vehicle intelligent platform. We will -- the system will be upgraded over time with new software-based features via smartphone-like updates. The system also reduces the cost and weight of wiring.  Looking ahead, we'll continue investing in advanced battery chemistry to drive even greater range at a lower cost for our customers. We look forward to sharing even more details about our EV portfolio and competitive advantages at the Barclays Global Automotive Conference on November 19.  Among the strategies that will help us move quickly are the partnerships we have forged with companies like Honda and EVgo. In September, we signed a nonbinding memorandum of understanding with Honda to collaborate on several vehicle segments as well as on purchasing, research and development and connected services. These efficiencies will help both companies fund future mobility innovations. And to address the entire EV ecosystem for our customers, we will collaborate with EVgo to build more than 2,700 public fast chargers over the next 5 years.  Before we move on, I'd like to provide a comment about Nikola. As you're aware, we've been in ongoing discussions with Nikola about a commercial transaction. The transaction has not yet closed, and we will provide further updates at the appropriate time. We are exploring all opportunities to commercialize our Ultium battery system as well as the Hydrotec hydrogen fuel cells we have developed with Honda. We have invested heavily in developing and manufacturing fuel cells. Commercialization of our Ultium battery system and hydrogen fuel cells reflects that commitment and our commitment to a 0 emissions future.  Cruise, our majority-owned self-driving subsidiary, continues to make progress with its technology and the launch of the Cruise Origin shared autonomous vehicle, which will be built at Factory ZERO. We've begun testing the Origins' Ultium battery system at our Milford Proving Ground, with preproduction vehicles coming next year. By the end of the year, Cruise AVs will be tested in San Francisco without backup drivers after receiving the go-ahead from the California Department of Motor Vehicles. This is a significant milestone because Cruise will be the first company to test autonomous vehicles with no backup driver in a dense and complex urban driving environment.  In the coming months, GM and Cruise intend to file an exemption petition with NHTSA to deploy Origin vehicles without steering wheels or pedals. We have withdrawn an earlier exemption petition that was limited to earlier-generation Cruise AVs derived from the Chevrolet Bolt platform. The Cruise team is working with a Harvard-trained epidemiologist and using research from various health organizations to identify measures that may help maintain a healthy ride environment.  Now let's take a look at our regional businesses. In North America, we gained retail market share and drove higher average transaction prices with lower incentives. Our truck and full-size SUV plants are safely operating on 3 shifts, building every vehicle possible. Our dealers are doing a great job of maximizing sales and share despite tight supply. They are using GM-developed software that helps them order the highest-demand, fastest-turning vehicle build configurations.  Customers' response to our all-new full-size SUVs continues to be enthusiastic. Combined average transaction prices for the Chevrolet Tahoe and Suburban, the GMC Yukon and Yukon XL are 14% higher than outgoing models and the 3 closest competitors. Media reaction to the 2021 Cadillac Escalade, which is now arriving at dealerships, has been outstanding, with journalists citing its craftsmanship, comfort and technology, including its 38-inch OLED display. And like all of our full-size SUVs, we're selling every Escalade we can build.  This is Cadillac's first Escalade with available Super Cruise technology. For the second time, it decisively led all other active driver assistance systems in recent consumer reports testing. Over the next 3 years, Super Cruise will be available in 20 models across our brands.  GM Financial delivered record results in the quarter. Since its inception 10 years ago, GM Financial continues to grow its share of the financing business for both dealers and retail customers with very high levels of customer satisfaction.  Moving to our international operations. In China, the industry continues its recovery from the impact of COVID. GM China deliveries in the quarter grew 12% year-over-year. It is the first sales increase in 2 years and in line with overall growth we're seeing in the industry's passenger vehicle market. The luxury, mid-size and large SUV and multipurpose vehicle segments, where our launches have been focused, experienced the strongest growth.  Importantly, year-to-date sales of our new energy vehicle portfolio have more than doubled compared to last year. The Wuling Hong Guang mini EV became the best-selling EV in China during the quarter. In the next 5 years, more than 40% of our new launches in China will be new energy vehicles.  And before I turn it over to John, I have two more things to share. First, if our current recovery continues, we anticipate reinstating a dividend at the appropriate level that balances various capital allocation priorities, including our investments to accelerate EV. We know this is a high priority for our shareholders, and we're looking at timing around mid-2021.  And finally, I want to welcome Paul Jacobson, our new CFO, who is joining us from Delta, on December 1. Paul will be a great addition to the GM senior team. At Delta, Paul led a global finance organization that is widely recognized as the best in the airline business. He and his team helped the company build a strong culture of teamwork and inclusion and deliver best-in-class customer experience, operational and financial excellence and disciplined capital allocation. Paul is committed to transforming this company. His experience and insights will help us accelerate our momentum, rapidly build scale for our vehicle electrification and autonomous technologies and position GM to deliver a world with zero crashes, zero emissions and zero congestion.  And I also just want to personally thank John for all the work he's done as he did double duty for General Motors being the CFO for North America as well as the Corporate CFO. He did an outstanding job and should take full credit for the results in the quarter. I am grateful for his strong leadership, and I know he's anxious to return back to operations and to continue to drive the strong performance in North America. So John, thank you very much. And now I'll turn it over to you.
John Stapleton: Okay. Thank you, Mary, and good morning, everybody. The third quarter was very strong, resulting in $35.5 billion in net revenue, $5.3 billion in EBIT-adjusted, 14.9% margins, $2.83 in EPS diluted adjusted and $9.1 billion in adjusted automotive free cash flow. The $2.83 EPS diluted adjusted includes a $0.05 gain from the revaluation of our investment in PSA.  Automotive liquidity remained strong at $37.8 billion at the end of Q3, demonstrating the resilience and flexibility we have built into the business over the past few years and our ability to manage through downturns and other disruptions. In Q3, we repaid $5.2 billion of the corporate revolver draw and paid an additional $3.9 billion in October. We expect to pay the balance by the end of the year while remaining at or above our target average automotive cash balance.  We remain focused on our investment-grade balance sheet as well as our capital framework targets. Retail sales have continued to recover, with Q3 industry and GM results down less than 5% year-over-year despite limited inventories.  Let's take a closer look at North America. North America delivered Q3 EBIT-adjusted of $4.4 billion, up $1.3 billion year-over-year and a 15% margin driven by strong full-size SUV and pickup truck performance, disciplined pricing, benefits from our cost actions and nonrecurrence of the $1 billion strike impact in Q3 of 2019. The launch of our all-new full-size SUVs is going extremely well and contributed favorably to the price during the quarter. Our new full-size SUVs are designed to keep GM the clear leader in a market we have dominated.  During the quarter, GMC and Chevrolet combined had a 65% share of the retail segment, and we are trending up in both share and ATPs as availability of the new models increase. Dealers and customers truly appreciate the safety features, advanced towing technology and new independent rear suspension that dramatically improves passenger comfort and cargo space.  Like we did with our full-size pickups, we are expanding model choice and trim options. This includes adding new higher-spec trims, like the AT4 package for the GMC Yukon and an exclusive interior for top-of-the-range Denali models. Similarly, we now have 6 distinctive models and have doubled the trim lineup for the 2021 Tahoe and Suburban, including the Z71 off-road package. All new SUVs also have our new vehicle intelligence platform, VIP, which is on 9 models now and will be on a total of almost 30 by 2023. With an expanded capacity for smartphone-like over-the-air software updates, the VIP system enables the adoption of functionality upgrades throughout the life of the vehicle. Like our pickups, our SUVs command high ATPs, and we intentionally planned our rollout to include a rich mix of completely redesigned full-size SUVs with a goal to drive profitability and enhance our segment-leading market share. We started deliveries of our SUVs in Q2. And since the launch, we have gained approximately 3 percentage points of market share.  Retail market share of our large pickups is also strong, up approximately 2 percentage points year-to-date through the third quarter, with Sierra, the fastest-growing nameplate in the segment. Let's move to GM International. For the third quarter, EBIT-adjusted in GMI was up $100 million year-over-year, driven by favorable price and mix, continued benefits from our transformation actions and austerity measures partially offset by weaker FX in South America. China equity income in Q3 was flat year-over-year and slightly above our $200 million expected run rate. We saw benefits from volume as the market continues to recover from H1 lows; improved mix from recent launches, including Cadillac XT6, CT4, CT5, Buick Enclave and Chevrolet Blazer; and cost discipline. The benefits were offset by continued pricing pressure.  We received $500 million in dividends from our China JV in Q2 and expect the remaining $500 million to be paid in Q4. In South America, all plants are operating in line with market demand, and the team has been reducing cost to lessen the effects of the pandemic while continuing to optimize mix and aggressively take industry-leading price. These cost measures include voluntary and involuntary staff reductions, salary reductions and delayed investments. Our strong Chevrolet brand has led the market for 18 consecutive years led by Onix. The Tracker has also led its segment since its launch earlier this year. The success of both entries highlights the strength of our new global family of vehicle platform, which now represents about 2/3 of South America volume and meaningful progress in terms of profitability and localization.  A few comments on GM Financial, Cruise and our corp segment. GM Financial posted quarterly revenue of $3.4 billion in the third quarter and EBT adjusted of $1.2 billion, primarily as a result of high used vehicle prices contributing to gain on sale of off-lease vehicles, reduced provision expense due to stable credit performance and lower interest expense as a result of a decline in interest rates. Cruise costs were $200 million for the quarter, in line with expectations, and corp segment costs for the third quarter were $100 million, better than run rate due to the PSA revaluation and other onetime items.  We achieved our transformational cost savings target of $4 billion since 2018, including $200 million in Q3. We expect to continue making progress on the target range of $4 billion to $4.5 billion through the end of the year.  Finally, let me update you on the EBIT and cash flow scenario that we provided last quarter. Going into the second half, we anticipated U.S. light vehicle industry SAAR to be in the 14 million unit range. It has been tracking much stronger, and we are now anticipating light vehicle SAAR in the mid to high 15 million unit range in H2, with pickup truck demand specifically exceeding original expectations. We have been selling vehicles within a few days of arriving at dealerships, leading to slower inventory rebuild than anticipated. As a result, our inventory levels will likely not reach our previous scenario of 600,000 units by year-end.  We continue to carefully monitor and adjust to the macro environment, which remains volatile given the evolving pandemic that is still impacting the economy. This may adversely affect demand and production timing and levels. However, with our stronger-than-anticipated Q3 performance driven by strength in pickup trucks, full-size SUVs and crossovers and the unanticipated benefits from GM Financial due to the Brazilian credit performance and high used vehicle prices, we expect our H2 EBIT and free cash flow to be well above the scenario provided on our Q2 earnings call.  Given the strong performance and assuming no unforeseen production disruptions, our updated H2 scenario for total company EBIT is in the $8.5 billion to $9 billion range, with Q4 weaker than Q3 due to seasonality and free cash flow levels in H2 to be in the $11.5 billion to $12.5 billion range. I would caution against extrapolating our H2 performance going forward as we will reintroduce engineering, manufacturing and advertising costs as operations normalize.  To help you frame 2021, I would like to provide some early thoughts with our more detailed level of guidance to be provided in early February during our Q4 earnings call. At a high level, comparing 2021 to 2020 in an environment where 2020 was not impacted by the pandemic, EBIT performance expectations are fairly similar, with some puts and takes. Headwinds for 2021 compared to a normalized 2020 include increased spending as we invest in our EV rollout and potential commodity headwinds, particularly around platinum group metals. Opportunities in 2021 include an entire year of full-size SUV production, inventory build remains an opportunity but will be dependent on market demand and modest ongoing cost savings from COVID austerity learnings.  Specific to free cash flow, as mentioned previously, the permanent -- CapEx this year will lead to retimed spend in 2021. We previously communicated a CapEx run rate of $7 billion per year. As a result of this retimed 2020 spending and a strategic decision to accelerate investments in our all-electric future, we expect that our annual CapEx will exceed $7 billion through at least 2023. As Mary mentioned, we will communicate a more detailed EV strategy on November 19.  In summary, our Q3 results demonstrate the strength and flexibility of the business and our ability to recover quickly from a significant disruption. We have continued our focus on launch performance, cash flow and improving the overall resilience of the business. We are laser-focused on execution and setting GM up to win in the future of mobility.  This concludes our opening comments, and we'll now move to the Q&A portion of the call.
Operator: [Operator Instructions]. And our first question comes from the line of Itay Michaeli with Citi.
Itay Michaeli: Congrats.
Mary Barra: Thanks, Itay.
Itay Michaeli: Just maybe -- John, I appreciate the color into 2021. And I was hoping we can maybe just walk through North America, the bridge there in a bit more detail. And specifically, kind of as we think about the company's earnings power in North America relative to where you thought it was pre-COVID, just maybe walk us through some of the puts and takes there just given the strength of the truck franchise this year.
John Stapleton: Well, I mean what we're seeing specifically relative to the industry is actually quite stronger -- much stronger in the recent months versus what we were seeing in COVID. You can look at our bridge. I think we're calling out cost savings, excluding warranty, of about $700 million quarter-on-quarter. I think you're asking what could stick, what translates forward. I think a big chunk, Itay, of the savings really represents the austerity actions that we put in place in Q2. And where -- they bled into Q3. And as operations start to normalize as our plants continue to run hard, we will start to see some of that cost go back into the system in Q4 and beyond.
Itay Michaeli: Just to clarify, John, I guess, the 2021 comparison, should we think about the 2020 as sort of on a more normalized ex COVID? And if so, could you kind of quantify what that sort of comparability should look like?
John Stapleton: Sure. Yes. I mentioned that our 2021 could be in line -- more in line with pre-COVID levels, really not that indifferent than what we reviewed at Capital Markets Day back in February. We do have the puts and the takes. We mentioned plus EV spend. We mentioned potential commodity headwinds really in the platinum group metals. The tailwinds: the full year of full-size SUV and inventory build opportunity, and so potential COVID cost savings. So EBIT-wise, not that real indifferent than where we were at the Capital Markets Day.  On the cash side, a little different. Cash side, we actually delayed $2 billion of CapEx spend this year that will get retimed into next year. And as a result of our strategic decision to accelerate our investments, we will see some of this accrete into 2021 as well.
Itay Michaeli: Just lastly, maybe for Mary, strategically. One of the announcements that you made throughout the quarter was the relationship with Uber to deploy EVs on rideshare networks is something we've talked about in the past. Curious if you can kind of comment on where this relationship could potentially progress over the next couple of years.
Mary Barra: Well, I think you're seeing rideshare companies want to do their part from a 0 emissions perspective, and so providing the drivers the opportunity to have an EV that's within reach. And the Chevrolet Bolt EV is an excellent vehicle. We deployed it in past in the rideshare environment. And it was -- it did very well. It's very functional from that perspective. So we think it's a good offering, and we're going to continue to make that available and see how we can grow that business.
Operator: Our next question comes from the line of Rod Lache with Wolfe Research.
Rod Lache: I was just hoping -- first, John, I apologize for being a little bit thick on this, but I didn't quite understand what you actually were guiding to for 2021. Did you say it would be similar to the roughly $10.5 billion EBIT that you're looking for this year, which obviously includes the gains that you're seeing in GM Financial and also COVID? Or did you sort of make adjustments to extract COVID impact from that?
John Stapleton: No. I mean pre-COVID, Rod, I think at Capital Markets Day, we were guiding EPS diluted adjusted somewhere around $6.5 -- I think it was $5.75 to $6.25. And you can extrapolate that to our EBIT number. As we look forward into '21, we think we could be there. Our goal would obviously -- the puts and the takes could offset each other, but a lot is really dependent as we move forward in this uncertain world.
Rod Lache: Okay. That's clear. And any color on what you're expecting for GMI ex China? Obviously, that's still a pretty significant drag. Is there a reason to be a bit optimistic about that as you look out to next year?
John Stapleton: As we look to next year, it's still a difficult environment. I think everybody can see that. I think your question, is there any possible upside? I think some of the upside that we see is we'll have a full year of our Tracker, which is the SUV, we'll have a full year next year. And really, Rod, we've taken quite a bit of price this year, and that price will carry into next year, which will be a tailwind for us. I think those are the two positives that we can point to for next year in South America.
Mary Barra: Yes. The only thing I would add, Rod, is also in addition to what John said, the team has just done an excellent job of continuing to take cost out of the business. So the team is very hungry to deliver positive results. And so they're committed and working day and night on that.
Rod Lache: Okay. And just lastly, Mary, I mean, so much has happened here in the market over the past year competitively, especially with regard to electrification. And I was just hoping you might be able to share with us some updated thoughts on strategy and if it's evolved at all or changed at all since the March EV Day. Any thoughts about the -- accelerating the trajectory of growth in EV? Is this Oshawa expansion related to EVs or any changes to the distribution strategy?
Mary Barra: So we're going to share a lot more of our EV strategy when we're at the Barclays conference later this month. But I would say we have done a lot since March -- the March EV Day, continued aggressively on the battery technology development and very pleased where we're at. From an Ultium perspective, we announced the Ultium Drive. That gives us a lot of flexibility and scale in addition to the wireless battery management system. So you can see there's a lot of work going on from a technology perspective to make sure we have leading technology.  We've shared the Cadillac Lyriq and the GMC Hummer EV. Both reveals went exceptionally well, and the customer feedback from both has been very, very strong. In addition, we have announced the $2 billion investment in Factory ZERO in Detroit-Hamtramck. That will be an all-EV plant. We have the Ultium Cells LLC in Lordstown ahead of schedule, and we're hiring. And then we have the Spring Hill announcement, which is about a $2 billion investment as well. So when you step back and look at the potential that GM has from an EV perspective, we can leverage our iconic brands that have a relationship with customers across the country and, frankly, across the globe; leverage the technical capability of the team, which I'd put against any other group; the ability that we have to quickly convert our manufacturing facilities and get the scale very quickly not only from a component perspective, but in building.  So when you look at all those things, our major goal is to make sure that we are in a leading position from getting the new vehicles out. We've already talked about the fact that Ultium will give us profitable electric vehicles. And we think leading and getting vehicles across the entire market, leveraging our brands is going to be very important. Lastly, you mentioned dealers. And what I'll say, we are working in partnership with dealers. There's already been quite a bit of transformation. And we're finding that some customers want to do everything online. Other customers still want to literally kick the tires. The new systems that we're deploying, the GM-based systems that we're deploying with our dealers are helping. I also mentioned that we're leveraging systems to help dealers order the fastest-moving and often most profitable vehicles. So that's improving their business as well. So we're working in partnership with our dealers to transform and provide an excellent customer experience. The last proof point I'll give you is the GMC Hummer EV, where you look at with 4 steps being able to make a deposit on a vehicle and improve pricing transparency so customers know exactly what they're going to pay, no incentives, no discounting, no haggling. And this is all being done in partnership with our dealers. So there's a lot more to come here, and I'm very pleased with the great work that we're doing together.
Operator: Our next question comes from the line of Emmanuel Rosner with Deutsche Bank.
Emmanuel Rosner: One more question on the EV strategy. I really appreciate all the color today. So today, NIO's market gap has officially surpassed GM's. And that's the latest example of high market valuations and cheap access to capital for this electric vehicle company. I was hoping to get your latest thoughts on what the best way is to unlock shareholder value from your technology. Last quarter, you said nothing is off the table, but I'm certainly getting a strong vibe from all the announcements on the EV side that things seem to be being kept all together. So just your latest thoughts what's the best way to unlock shareholder value.
Mary Barra: Well, Emmanuel, as I've always said, we're committed to and have taken many steps in our EV business as well as our autonomous business to maximize the ability to unlock long-term shareholder value, not something that's going to necessarily cause a quick pop. When you look at all of the assets that we bring to that and recognize that EV is a propulsion system, there's many other parts of the vehicle, we're focused on speed and what's going to drive the business and growth over the long term. So we'll talk more about it at the Barclays conference. But our focus is absolutely on unlocking shareholder value and speed to market.
Emmanuel Rosner: Understood. And then a second question, could you talk a little bit more about the benefits from the alliance with Honda in North America? I'm just curious if you could maybe detail a time line, magnitude of expected benefits, what sort of product lines are even being considered, just anything that helps us understand the opportunity here.
Mary Barra: Sure. As we mentioned in September, we announced a nonbinding MOU. We continue to have discussions, are making great progress on a definitive agreement. And the scope of things that we're working on are platform sharing, sharing with R&D, connectivity solutions as well as purchasing. So -- and if you think about the items that I've just mentioned, those are -- can lead to significant cost savings. So we'll have more to outline as we get to a definitive agreement, but it's a pretty broad look at what we can do together to make us both more efficient and also make -- allow for leading technology and EVs and platforms in the market.
Emmanuel Rosner: And just timing-wise, any sense when the earliest benefits could be realized?
Mary Barra: I think probably need to let us get the definitive agreement before I start quantifying and timing them, Emmanuel, if that's okay.
Operator: Our next question comes from the line of John Murphy with Bank of America.
John Murphy: I just wanted to look at Slide 17 in the supplemental portion of the deck and look at this and -- I mean maybe recognize -- I mean I've got data going back more than 30 years. $4.4 billion EBIT for North America is a record and a pretty strong one. And you can certainly argue there's some puts and takes and benefits at the current time, but it's not necessarily the greatest time in the world in North America. So it's pretty impressive, right? I mean I don't think this should be undersold.  I'm just curious, as you're looking at this, I mean, John, you mentioned that some of the cost savings may not repeat. But I think you guys indicated that you're going to get $200 million -- or you got $200 million of the $4 billion goal to wrap that up. And you're going for $4.5 billion now. But let's take out $800 million there and say maybe that's not going to repeat and maybe knock out the price and say, "Hey, listen, the market is just so insanely hot that might not repeat." You're still doing well north of a 10% EBIT margin.  So I'm just curious if that logic makes sense to you and why, given the strategy and the product that you might not be able to hold on to some of that price and some of that cost go forward. Because I mean you're being very humble and underselling what you did in North America.
John Stapleton: I guess, John, I guess a couple of comments there. As we look forward -- we've worked hard on the $4 billion to $4.5 billion. We're looking hard at what can we make stick from an austerity perspective. We do have some tailwinds with the all-new full-size SUVs, 3 brands, we've got some strength there.  If you look at the last handful of years, we've been in launch mode, really, launching our T1 platform, the Silverado, Sierra and the SUVs. And now we're -- we've got the launch behind us. And so going forward, yes, I mean, we're going to utilize some of that strength. And I think we've talked about North America 10% margins. We've demonstrated in the last 5 years we can do 10% in most years and even some quarters better than 10%.  Some of that, though, will actually have to use to pay some of the acceleration of our EVs on a go-forward basis. And I think Mary mentioned we're going to go hard at this and more to come at Barclays in the middle of the month.
Mary Barra: But I think it's a really good point, John, that our North America business, especially the strength of our full-size truck platform and the franchise there, full-size SUVs, gives us excellent opportunity to self-fund our growth in EVs and then leverage all the assets we bring, whether it's manufacturing, engineering, technology.  So I think we have to focus in on what it takes to really put vehicles on the road that are long-term durable and high quality, also that customers want. And I think, frankly, that's been a little bit underappreciated. But when you look at the earnings potential, even with the adjustments that you made in North America, we're going to go hard at EVs and demonstrate the assets that we're going to bring to it. And the North America performance that John is being a bit modest about allows us to do that.
John Murphy: Okay. That's helpful. I still think you're being awful humble there, but we'll be -- just a second question on EVs, and I understand you're going to talk about it more in the coming days. But you've made certainly comments about doing Ultium powertrain inside and you've discussed cycle times being shorter. So I just wonder if you could sort of clarify on the EV Ultium strategy whether levels of outsourcing or in-sourcing may be similar or different versus ICE vehicles have been historically.  And then also, Mary, I mean, in the press release, you did talk about cycle times being faster, so that should be fair game on this call. What does the faster cycle times mean -- product cycle times mean on EVs?
Mary Barra: So I think a couple of points, and I'm really glad that you asked the question. So we have -- from an Ultium perspective, we have a very robust road map of how we're going to work to take costs out and really leverage the scale and the opportunity that we have when you think about the market size that we have in North America as well as China. And there's other markets that are open for us. So I think there's a huge opportunity for EV growth in our business.  And as we mentioned, I think what you're referring to on cycle times is the fact that the GMC Hummer EV is the fastest vehicle development we've ever put on the road. We're using new technology and tools. The fact that the way the Ultium platform has been designed, it's very modular. So that allows for reuse of engineering. That speeds up the process. The design team with how the Ultium platform -- when you're not trying to retrofit an ICE platform but you start with an EV-intended platform, that gives you a lot of design freedom and flexibility. You're seeing that with the LYRIQ and with the GMC Hummer, and there's more to come.  So all of those things are allowing us to have a much faster global vehicle development process to get the vehicles on the road. And so we'll share more about that, but that -- those are all the elements that are allowing us to do that.  And again, the milestones we've established and the speed at which we plan taking cost out from the battery -- because cost on EVs is all about the battery. And so getting those costs down, controlling what we need to control, and I think you've seen are a definite change at General Motors of how we did ICE vehicles versus the way we're doing EVs with controlling and having the JV on cell manufacture. So we're rethinking every aspect of the business to make sure that it's going to allow us speed, it's going to allow us to have a cost base that allows us to enter many more segments with profitable EVs into the marketplace, which I think then that represents the growth opportunity in front of us.
John Murphy: Could this mean that mid-cycle majors are a thing of the past?
Mary Barra: Well, I think we have to look at that, that it will be customer-driven. Because I think if you step back and you go 5, 6 years ago, mid-cycle enhancements are all about the exterior. And now not only do you have changes you can make to the exterior possibly faster, but also what you can do internally. And with our vehicle intelligence platform and the ability to do over-the-air updates, whether it's something new that you're going to put out on a model or something that you can upgrade in a previous model to, that's all new business for us in the services side of it. So don't underestimate the fact that I think John said we're going to have VIP on about 33 vehicles, was it, John, by 2023. And of course, that will be driving our EV vehicles as well.
John Murphy: Just on the dividends from China and GMF, John, what are the -- I mean I think it's -- year-to-date China's 500 and GMF is 800. What do we have left just to top out the year? And then I'm done.
John Stapleton: Yes, nothing left on GMF, and the 500 remaining at -- from China will be in Q4.
Operator: Next question comes from the line of Joseph Spak with RBC Capital Markets.
Joseph Spak: I want to go back to the electrification question. I mean you've clearly shown you've done a great job managing through the past year plus, I guess, with the strike and the pandemic. You showed the resilience. We've seen the return to solid cash flow. And I know, historically, that's been a big part of your goal and investment thesis, improving that conversion. But you're also clearly talking about here accelerating investment in electrification. So given what's going on in the industry and the capital markets, I think you could probably build the case that it's better for you to not theorize robust free cash flow as maybe you were sort of talking about a year or so ago. And I wanted to get your thoughts on that.  And it sounds like, with these accelerated EV investments, maybe you could just help us a little bit about how we should think about the return on that. You talked about improved speed to market, but does this actually mean you can pull forward bringing some of that product to market faster than initially thought?
Mary Barra: Absolutely. We will definitely be bringing EVs to market faster than what the plan was a year ago. We've learned a lot in the last year. And the speed at which we're developing the Lyriq and the Hummer, I think, are evidence of that. And so we definitely will have vehicles in market more quickly with our new strategy.
Joseph Spak: Okay. And then just a second one. So the HUMMER EV looks great. And I know you indicate this is going to be profitable, but it's also certainly an expensive vehicle. And if we look at Tesla's plan, one of their tenets is really was to use expensive vehicles to lower the cost of technology, broaden the addressable market. And again, I mean to be fair, right, the initial Model S is in that sort of -- $100,000 vehicles for them as well.  So I guess the question for you is, between the Hummer and the Lyriq and the Cadillac product, those are also expensive vehicles, is the plan similar? Like I know you've got the Bolt EUV. But beyond that, how do you think about leveraging the high end and the technology to move towards higher-volume passenger cars? Or do you really want to stay within your sort of core segments of trucks and maybe some luxury?
Mary Barra: So the trajectory that we have for the Ultium battery technology is going to allow us in this initial rollout of Ultium to have vehicles in the high-volume segments. So we definitely plan on -- when you think about our brands, where Chevy plays in the heart of the market in value, we will have entries across our brands and across segments and into affordable high-volume segments.
Joseph Spak: Okay. That's very clear.
Operator: Our next question comes from the line of Adam Jonas with Morgan Stanley.
Adam Jonas: Just a couple of quick questions. The first is on Ultium LLC. You're really rapidly developing the capabilities of this business at a time when there is -- seems to be a scarcity of those skateboards in that kind of -- those -- that module, that system with so many entrants, whether they're legacy entrants or all-new entrants that want to get in. And so obviously, I think that the core business of Ultium is to help GM time to market and flexibility, but also presents an interesting third-party opportunity.  Now in addition to Honda, which you've disclosed as a potential customer, if you will, can you tell us the state of any other discussions of third-party supply from Ultium to other manufacturers? Are there discussions going on? Even if you can't be specific, are such discussions going on at this point?
Mary Barra: So Adam, one is the Honda isn't a possibility. It's already a done deal that Honda will be leveraging our Ultium platform for two vehicles. So -- and there's just more opportunity as we work with them. I don't have anything specific to share right now on others, but I would just tell you there are other conversations underway.
Adam Jonas: Okay. Appreciate that, Mary. And just as a follow-up on cash return. Now if we think life pre-COVID, the strategy -- and you've laid it out very clearly in the past: invest in the business; fortress balance sheet; profitable growth; and then what's left, return to shareholders. Pre-COVID, you guys returned on order of $20 billion through share buybacks, right? That was money you took out of the business and your investors are wanting you to do it, and you did what they wanted and you gave it back instead of investing in the business. . Am I right in thinking that post-COVID, the world really has changed? And while you still reserve the right to define what excess cash is, but given the growth opportunity ahead and managing this with perhaps even greater emphasis on fortress balance sheet post-COVID, am I thinking that while you may still give us those -- that sequence or that waterfall of what's left, that this is not a cash return story anymore as much as it used to be and is much more a growth story? Is that just conceptually the right emphasis here?
Mary Barra: Adam, I think we're going to still follow our capital allocation strategy, which means reinvest in the business to generate appropriate returns, a blended return on invested capital of 20%. We're going to maintain an investor-grade balance sheet. And then the third pillar, as you suggest, was returning to shareholders. I think what you hear us saying is we do believe that there are a number of very important programs and services that we can deploy that are going to lead to growth of General Motors. I can't talk about the rest of the world, but we see a huge growth opportunity for General Motors. That's why we're accelerating EVs, putting the focus on services with the addition of Alan Wexler joining the organization. And so we see a growth opportunity that focus on that first pillar.  We'll still maintain it because we want to do the right thing for all of our investors. But we will be heavily focused on the growth opportunity, and that's facilitated by the first pillar.
Operator: Our next question comes from the line of Ryan Brinkman with JPMorgan.
Ryan Brinkman: Congrats on the quarter. Maybe starting with a follow-up on the GMNA profitability questions earlier. Are you able to sort of parse out how much of the $1.0 billion of year-over-year contribution from lower cost in 3Q, as shown on Slide 17, is related to more temporal factors such as austerity-related cost savings that might reverse versus how much stems from savings that are more structural in nature?  And how should we think about the cost line specifically tracking in GMNA going forward as austerity savings normalize but structural savings continue?  And I think you might also combine in this driver the higher cost of the content on new launches, such as the SUVs, which you've suggested before might need to be netted against pricing. So any sort of disaggregation that you might be able to provide with regard to all of the different factors in 3Q that went into the cost driver for GMNA would be very helpful.
Mary Barra: So the way I would look at it, Ryan, is clearly, there were austerity measures that are more related to the pandemic. And as the business resumes manufacturing, et cetera, there will be costs that we incur.  There will be savings as well as we demonstrated through the transformation. But what you also hear us saying is we're going to accelerate EV. So some of that savings will go against that. Significantly improving the rollout of EV is going to take both engineering and capital. So I think as you look forward and try to map into '21, you have to factor in, yes, we've made permanent savings in the way we do business, but we're now accelerating other parts of the business. And some of that savings will fund that.  Some of the austerity will stick, and we'll provide more clarity around that when we get to talking about '21 in the February time frame when we roll out fourth quarter earnings.
Ryan Brinkman: Okay. And then lastly, I think I heard John say that you expect a mid to high 15 million range of U.S. light vehicle SAAR in the back half of the year. Looking at July through October, I think it's running at about 15.6 million so far and the last couple of months at 16.4 million.  So just curious if you're seeing or anticipating any kind of a slowdown here in November and December or perhaps are just being cautious. I think your guidance, which is based on wholesale, is derisked relative to the near-term trend in sales, just given your ability to replenish inventories going forward. But still, I'd be curious to know how you're feeling about the market, if you think it's likely to continue to hold strong like in September and October in the 16s or if you're concerned about, I don't know, any sort of risks around uncertainty due to the election or higher COVID cases or something else.
John Stapleton: No. I mean we didn't really bake COVID uncertainty, if you will, into our SAAR projection. What we are seeing, though, on the retail side, in particular, very, very strong. If you look at the retail SAAR for H2, it's virtually in line with last year. Last year, in total, we had 17.5 million units. So the actual reduction, if you will, in the second half of the year relates more toward fleet, daily rental companies. Fleet customers have dialed back a bit. But we see -- barring a major event in COVID, we do see continued strong retail SAAR in the second half and into Q4.
Operator: Your next question comes from the line of Brian Johnson with Barclays.
Brian Johnson: Obviously we'll have a chance in a couple of weeks to talk about the EV strategy, and appreciate the advertising for it. But I do want to ask when people think about the leading EV company, it's not just the EV propulsion system, it's the digital cockpit, vehicle update capability, the frequent kind of mid-cycle refreshes, if you will, that's delivered by software updates. So can you give us a sense and also you mentioned Alan Wexler, the kind of digital transformation outside of EV propulsion that we could expect to see either in the electric vehicles themselves or, frankly, in a broader lineup to keep them fresh and relevant for modern buyers?
Mary Barra: Yes. Brian, your line has got a lot of static on it. So I think I got the question. And you're talking about the digital transformation. We do view the vehicle as a digital platform. We have -- over the last 5 years or so, we have in-sourced virtually all of the software inside. That gives us the opportunity to have much better control, much better integration and speed to put new offerings. So we see a definite opportunity with over-the-air, not just for EVs, but for all of our vehicles, ICE vehicles as well, to leverage the service opportunity and build on what we have with OnStar with the number of vehicles that we have connected already. So I say that, that is a huge growth opportunity as well in both EV and ICE.
Brian Johnson: Okay. And in terms of when those types of products could be seen in the showroom on non-EVs, when would we sort of see a [indiscernible] different cockpit, much more connected, showing up in showrooms?
Mary Barra: Well, I mean I think if you look at the Cadillac Escalade right now, you see a -- that -- there's already 9 vehicles that have our vehicle intelligence platform in it, and that's growing. And that provides us the foundation just to build on that. So I think it will continue to grow the number of vehicles that we have with that capability. And then the services, we -- like I said, we have a team that's working on that right now as well. So as we have 30 vehicles by 2023 that have the VIP, with more following as quickly as we can, that's going to give us the opportunity to seize the service piece of it and leverage the digital platform.
Operator: Our next question comes from the line of Dan Levy with Crédit Suisse.
Dan Levy: I just wanted to start first on the commentary on the dealer stock. So you're not going to get to 600,000, I think, which is well understood. But the question is, like, you need to continue rebuilding your inventory into 2021. We've now seen a couple of months of SAAR north of 16 million, which basically normalized. And in the 2018/'19 period, you were running at roughly 800,000 units of gross stock on a monthly basis. Is that 800,000 a reasonable target that we should expect you to rebuild toward? Or are you going to try to play it maybe a little more conservatively?
John Stapleton: I think that we'll -- I think that was a very high number. We were coming off of launches, and we wanted to build a little bit of inventory as we walked into the second half of last year. I think what we're seeing now with this focused ordering approach with our dealers -- and dealers are learning to operate at much lower inventory levels. They're taking cost out. That allows us to take cost out. I don't see the 800,000 to transfer into the future. We do see a lower number.
Dan Levy: Okay. So we should consider just going forward, you're going to be a little -- you're going to aim to be a little more lean on the dealer stock levels. Okay. And then a follow-up. Mary, maybe you can help us understand on the Honda MOU. I know you said TBD on the timing, but could you maybe just contextualize what's your current spend is on combustion platforms? How significant the portion of the budget it is? And how much of that can be shared with Honda? Just trying to get a sense for the magnitude of product or content you have that's maybe less value-add or a little more commoditized, which people aren't giving you as much credit for, but that can be shared with Honda and that can -- allows you to reinvest that amount into EV.
Mary Barra: Yes. Well, first of all, I think it's also important to note with Honda, we're also already sharing EV platforms. So it's hard to quantify that. I will tell you that we are -- much of our capital and engineering is now over-indexing into EVs. And as I mentioned, we already have sharing going on with Honda on that.  But I think your point of -- for being flexible with how quickly the EV transformation will happen and having the right products from an ICE perspective as well as an EV perspective, joining with Honda on those key platforms that may continue for a while allows us to do that much more efficiently. I mean it cuts it in half virtually for the core and then we each do our top hits that we go to market with a very different offering. So there is tremendous savings there. It's hard for me to quantify that because it changes year-to-year based on what programs we're engineering and launching.  But I will tell you -- so I would just say there's significant cost savings available. It will be as we commonize platforms, we have already started to do that from an EV perspective. So there's potential further opportunity there, and it just makes us more efficient.
Dan Levy: And is it possible to bring other automakers into the fold on the combustion sharing side?
Mary Barra: I would say anything is possible. We have to look for what makes the most sense and how, I'll say, new program schedules align. But we're opening to look for ways to drive efficiency across the industry. We're very open to that.
Operator: Our last question comes from the line of Mark Delaney with Goldman Sachs.
Mark Delaney: Yes. I was hoping to ask more on Cruise and the news about getting the approval to do testing with no drivers in San Francisco. Maybe you can help us better understand what are the key factors that are needed from here in order to get to commercial deployments. Is it just a matter of time and seeing how these driverless vehicles are performing and that gives you enough confidence as you get more data to be able to deploy? Or do you think there's further technical or regulatory hurdles that will need to be cleared in order to get to commercial deployment?
Mary Barra: Well, if you look at commercialization, we're going to continue our development and testing work that we're already engaged in and then the discussions with regulators to ensure that both from a technology and a regulatory perspective we're in a position to operate commercially.  When you think about what we've announced with what we're going to do yet this year in San Francisco with the testing without a safety driver in the vehicle, I think that that's just another level of milestones that we need to achieve. And then -- and we'll be the first doing it in a complex urban environment. And why that's so important is, if you think about even today's ride-sharing, the opportunity for profitability is in dense urban environments. And so being able to deploy the technology there instead of in a suburban environment, I think, gives us a faster pathway to commercialization and profitability. And the vehicle capability will only continue, and that means then the area, the geofence area that the vehicle can -- vehicles can operate in grows as well. So both will go together.
Mark Delaney: Okay. That's helpful. And then a question on cash flow. Kind of within that scenario, the company was discussing a relatively flattish SAAR on a sequential basis going forward. What would that imply for working capital as either a headwind or a tailwind for 4Q and perhaps into 2021 as well?
John Stapleton: Yes. For Q2, we burned $9 billion, so we had a huge unwind. Q3, it was almost dollar-for-dollar rewind. We generated $9.1 billion of free cash flow. As we look forward, Q4 and beyond, we're really more toward the normalized levels now, not as big or hardly any impact on a managed working capital. It's already happened in Q3.
Operator: I'd now like to turn the call over to Mary Barra for her closing comments.
Mary Barra: Well, thanks, everyone. I really appreciate everybody's interest, especially in our EV transformation. But to sum up the quarter, it was a very strong quarter. Very proud of the team for the great results that were delivered. And I think it demonstrates that we're fully maximizing our strong new vehicle portfolio both in crossovers, full-size trucks and full-size SUV, obviously being helped by a recovering market. We also greatly accelerated our EV and our AV progress. We've talked a lot about that this morning, and we have more to announce very soon. And it does, I think, start to outline a very significant growth opportunity for General Motors. Overall, the team has worked very hard to build an agile and resilient business. I think we've demonstrated that over the second and the third quarter. We are committed to not only continuing to run a strong business with all of our franchise, but also focus on growth opportunities that will create long-term value for our shareholders. So I want to thank everybody again for participating. And please stay safe, stay healthy, wear your mask.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for joining.